Stefan Wikstrand: Good morning, everyone. And whilst we're waiting for the attendee list to fill up. [Operator Instructions] And then we'll answer them when we get to that point on the agenda. But I think attendee list seems to be not moving anymore. So then I will hand over to Vlad for the remarks for the fourth quarter.
Vladislav Suglobov: Thank you, Stefan. Welcome, everyone, to our report. I'll start by giving you a brief overview of the quarter. Stefan, can we move on to the next slide, please? So revenue declined 9% year-over-year in USD terms. But because of the exchange rate changes, it went down 21% when expressed in Swedish krona and was SEK 221 million for the period. Sequentially, it was down 2% from Q3 to Q4 in USD terms. And looking at the 3 main pillars of our revenue generation, our 3 main games, we have achieved stabilization of 2 of these. Hidden City had a strong performance during the quarter. It grew sequentially 8.3% from Q3, really strong result. Sherlock declined sequentially by 5% after delivering a strong performance in Q2 and Q3. And looking at the same -- looking at the game year-over-year, it declined only by about 5%, which was significantly less than before, even in the first half of the year. Its performance was negatively affected by specific events that happened in November. But outside of November, the underlying trend remained consistently strong. So we consider that Sherlock and Hidden City are stabilized in revenue. But at the same time, we have the Jewels family of games that declined year-over-year by 19% in USD and sequentially by 12%. And the performance of Jewels family of games is the reason we continue to see the revenue decline for the group. The team has a plan to fix this performance, but it is not a fast plan to execute. We expect to see improvements by the middle of the year, or we will consider what we call harvesting the game, which is optimizing the team to the minimum to produce the best cash flow while the game continues to decline. So that's basically the reason you're looking at negative trend in the top line in this quarter. Monthly average gross revenue per paying user hit a new record of USD 71.7. Our gross margin reached an all-time high of 71.6%. That's up from 69.1% last year, thanks to the continued success of G5 Store. During the quarter, we continued to build momentum in strengthening the top line revenue performance. We increased UA spend to 23% of revenue on the higher end of the previously communicated range compared to 17% last year. We intend to remain on the higher end of this bracket going forward in an effort to stabilize and turn around the top line trend. We will continue to invest profitably in the growth of our portfolio revenue through existing and new games in order to turn around the top line dynamic. Earnings in the quarter were impacted on one hand by the currency exchange related to the weakening USD, which is the main currency of our revenue generation, and on the other hand, by the increased UA spend. At the end of the quarter, our cash position stood at a strong SEK 216 million. It is actually virtually unchanged compared to the end of Q3, if adjusted for working capital fluctuations and USD-SEK exchange rate. We remain debt-free, and we continue to have a strong balance sheet, something we are very proud of. And on the right side, you can see the chart of G5 Store continuing to take over the percentage of the total net revenue generation in the company quarter after quarter. With that, let's move on to the next slide. And let's talk about G5 Store with a bit more detail. It continues to deliver solid growth. It became our second largest distribution channel now, up from being the third, and the way it's going, it may soon become our #1 distribution channel. We wouldn't be too surprised. The low single-digit processing fees have increasingly become a key driver of our margin performance, given that third-party app stores typically charge between 12% and 30%. This cost efficiency directly contributes to our improved profitability and the expansion of our gross margin. During the quarter, G5 Store accounted for 23.4% of total gross revenue, up significantly from 16% last year. And furthermore, the G5 Store played a key role in stabilizing Sherlock and Hidden City as these games continue increasing the audience and revenue on G5 Store for over 5 years now. Gross revenue growth for G5 Store in USD terms was 20% year-over-year and 3% sequentially. In addition to the continued progress with G5 Store, we continue to gain momentum with processing payments of our players on mobile platforms directly. Web shop and other G5 systems that internally we started calling G5 Pay, allow players on mobile platforms to make payments directly to G5 through their browser, which dramatically lowers the payment processing fee. During the quarter, such directly processed revenue accounted for 6.4% of total net revenue from mobile platforms, a substantial improvement compared to only 3% in Q3. And we believe that this percentage has more room to grow in the coming quarters. As mentioned in the previous quarters, we will further scale the revenue of G5 Store by opening it up for distribution of third-party games that are or were successful on mobile platforms. We have now launched the first 2 games late in the fourth quarter. And we see very encouraging results. We consider it proven at this point that distribution through the G5 Store can create a very attractive incremental revenue for mobile developers. Based on what we see so far, after only 1 month on the G5 Store, quality games can make up to an additional 15% of their mobile revenues through the G5 Store. We will scale this initial success, both through acquiring users into the distributed games, and through bringing more great third-party games to the G5 Store. The interest in the distribution on the G5 Store is growing among third-party developers and the number of new games are already added to the G5 Store. Our goal is to have a curated catalog to bring more high-quality games to the G5 Store and maintain high player satisfaction. As we increase the number of games on G5 Store and expand user acquisition, it may start positively affecting the overall top line dynamic in the coming quarters. I would also add that this initiative with third-party game distribution in G5 Store leverages our experience as a publisher. As you know, we've had a lot of success publishing premium and then free-to-play games on mobile platforms. And we've created some very prominent hits through these partnerships. So the developers know us. There is good traction in attracting games to the G5 Store, because it's a well-known business model for the company, and we have very good understanding of what developers need. And for the majority of developers right now, an incremental revenue from other platforms is a very important thing to have. So I think we are doing it at a good moment in time. With that, let's move on to Slide #5 and talk about -- look a bit more in detail on the quarter leading up to another record gross margin. So our own games accounted for over 70% of net revenue and active own games accounted for 61% of total net revenue, down slightly from 62% last year. This has to do with the improvement of the performance of Hidden City. Our gross margin reached a record high of 71.6%, up from 69.1% a year ago, primarily due to the continued growth of the G5 Store. Monthly average gross revenue per paying user reached a new high of USD 71.7 and it increased 1% sequentially and 9% year-over-year. This reflects the continued trend for the improvement of the underlying quality of our audience. G5 Store is a key factor with its generally higher paying users, players and overall smaller player numbers than on mobile platforms. In the quarter, we also saw at first in a little while a sequential improvement in the broader audience numbers, where MAU and MUU grew by 1% and 2%, respectively, while DAU and MUP declined 1% and 2%, respectively. All in all, basically a stable sequential performance when it comes to audience metrics, which is a significant improvement compared to previous years and a testament to the stabilization of Sherlock and Hidden City. Let's move on to the next slide. Let's look at our operating profit for the quarter. Operating loss for the period came in at SEK 6 million compared to profit of SEK 32.8 million last year, and this resulted in an EBIT margin of minus 2.7% compared to positive 11.8% last year. The lower EBIT was impacted by foreign exchange revaluations. Adjusting for that, the EBIT margin would be positive 0.8% compared to 9.6% last year. And even bigger impact on EBIT was the increase in the amount of user acquisition that I spoke about, that we have deployed during the quarter to stabilize the revenue of 2 main games, Sherlock and Hidden City, and also to support the scalability test of the game called Twilight Land, which was unfortunately discontinued based on the results of this test. So UA increased by 6 -- by whole 6 percentage points compared to Q4 2024. And during the quarter, the net capitalization impact on earnings was SEK 0.8 million compared to minus SEK 3.0 million last year. Now let's turn to the next slide to talk about our cash position. Capitalization impact on cash flow was minus SEK 23.2 million, less than the minus SEK 25.5 million last year. The movement of working capital was negative minus SEK 26.4 million compared to minus SEK 21.5 million last year. We have large fluctuations in working capital between the quarters with a few large counterparties. In Q4, we also see some year-end effects from earlier payments. Total cash flow during the third quarter was minus SEK 31.1 million compared to positive SEK 18.9 million last year. Total cash at the end of the period stood at a strong SEK 216 million, down from the same period last year. But, again, one has to remember that our business primarily is denominated in USD and that we are holding our reserves in our functional currency in the USD, which declined about 16.5% to SEK compared to the close of 2024. In USD, we closed the quarter with USD 23.5 million compared to USD 25 million a year ago, not that much of a difference. And also buybacks of SEK 2.7 million were made during the fourth quarter. All right. And that was the last slide on performance, and let's sum it up and some outlook for the future. As we enter into 2026, we have multiple strategic initiatives that we are pursuing. We will continue to execute on the G5 Store strategy and expand our third-party offering with additional selected high-quality games from the initial launches that we have made. Once again, we see that high-quality free-to-play games have the potential to earn up to 15% in incremental revenue from launching of G5 Store. We will continue developing G5 solutions for processing payments from players on mobile platforms directly. These are web shop and other modules that together we call G5 Pay. We want to see the percentage of payments for mobile platforms made directly to us grow over time. We'll continue to work on stabilizing and growing our main revenue pillars. Sherlock and Hidden City are starting to perform better and the road map of improvements will be implemented for Jewels of Rome in the first half of the year. For user acquisition, we will continue to be in the higher bracket of our previously communicated range of 17% to 22% of revenue. We have promising games in the pipeline, one of which is showing the best metrics we have seen in soft launch. That's cautiously encouraging. We have also formed several smaller agile teams that are rapidly testing innovative game concepts at a higher pace. So -- and we are excited to see what will come from that area in the next few quarters. Resources that were freed up from the Twilight Land game, that was closed as I mentioned, were reallocated to strengthen these strategic initiatives or let go. We will continue to work actively on the cost structure to maintain the high momentum we have in the product and in the G5 Active store development, while also being fiscally responsible to be able to continue to fund these initiatives from operations. We continue to have a strong balance sheet and 0 debt, a foundation to be able to pursue all the initiatives that we have going as we enter into 2026. And thanks to our stable performance, we are proud that the Board was able to propose a dividend of SEK 2 per share, corresponding to approximately SEK 15 million. With that said, I would like to thank the whole G5 team for their outstanding work in 2025, and I look forward to a prosperous year ahead. This concludes our presentation, and let's open the call for questions.
Stefan Wikstrand: [Operator Instructions] We have a few of those already there, so we'll get back to those. But we'll start with Simon Jonsson from ABG. Simon, you're -- there you go.
Simon Jönsson: I have first a few questions on G5 Store. And I wonder what's your visibility in third-party games joining? Do you have like a prospects lined up? Or how does it work?
Vladislav Suglobov: Well, we have -- we know -- we happen to know a lot of studios that we worked with over the years or that we know through industry contacts. And we have a business development team that basically knows the industry, and they know developers of a certain caliber, that we believe is the sweet spot for us, for the G5 Store, that we believe can really benefit from launching their games on G5 Store. So there's a balance to be found between the quality of these games and the size of their business so that this additional revenue through the G5 Store can be sizable enough for them, but the games are successful enough that we can expect them to perform really well on G5 Store. So you can think of developers that have games that are roughly the size of our games, for example, or approaching that. And we -- as I mentioned, we have very large developers actually very, very much interested because the situation in the market is that everyone is looking to maximize the revenue through -- incremental revenue through different channels. And in that sense, G5 as a channel, as we've seen with the first 2 games that we've launched, really delivers. So we are being thoughtful about who we invite on G5 Store and a little bit selective, but we also want to try some genres that we actually do not have in our catalog, as you can see from the first releases, but we can be even more bold and try genres that are further away from our core offering. So a number of deals is already signed and the developers are working on providing the builds that we will launch in G5 Store. This is already ongoing and new deals are being negotiated as we speak. So there's -- a little pipeline of games is formed. We don't want to bring tens of games or at least not yet to G5 Store in 1 year, but we will look at the performance of the new releases and decide as we go.
Simon Jönsson: All right. Yes, that makes sense. Then on the cost side, I mean, are you taking costs for this -- the third-party initiative right now, like upfront costs, which is weighing on the margins? Or is this -- are those potential costs quite negligible?
Vladislav Suglobov: Well, we certainly have to develop certain SDKs and frameworks to be able to launch external games. So -- but the team -- the platform team that does it is relatively small compared to teams that actually do make games. So it's not very significant. When it comes to the deal terms, I wouldn't want to reflect on specific deal terms, but it's kind of a usual industry standard for distribution of games. And they are -- they're not very costly, so to speak, as usually in distribution, because we're not talking about funding the development or exclusive publishing. So these -- the commitments that distributors make, they're relatively limited.
Simon Jönsson: All right. In terms of you making like some kind of payments for the rights or something like that, is that something you think will occur? I mean, we have seen it in other cases in the industry when companies are using other platforms for distribution. There's sometimes some kind of fee for that, some right. Is that something you think you will have to pay as well? Or do you think that it will be more revenue sharing?
Vladislav Suglobov: Well, again, I think that there's clearly a need for the developers that are similar in size for incremental revenue. And it is not the -- I think the practice that you're saying that it exists, it's a practice from different kinds of games and casual games. I don't think that practice even exists. I think developers are quite eager to distribute their games on alternative channels. And I think we are aiming at finding the right partners. The space is very fragmented, as you can imagine. There are many games that are making sizable amounts of money, but they're not like top hit games, and these games can really use incremental revenue. But we're not looking to obtaining like super brand, high -- like high brand recognition games, at least not yet. So that's just -- I wouldn't say that it's relevant to our business model at the moment. There are many developers out there who just want to find additional revenue for their games, and this is what we are providing.
Stefan Wikstrand: Yes. But I think I see where Simon is coming from, but it's not like we're paying huge amounts for some exclusive rights that would be kind of significant or take any kind of significant balance sheet risk if we would capitalize that either. So if I would answer that question shortly, if I interpret you correctly, I would say, no.
Vladislav Suglobov: Yes. The short answer is no. And again, we're not talking about any exclusive distribution or exclusive partnerships. So it's just a distribution through G5 Store, while developers are free to distribute their games elsewhere. So it doesn't cost us outrageous commitments and everything is within very reasonable, and we're more than satisfied with the initial launch.
Simon Jönsson: All right. That's helpful. Then just a final one on the capital allocation. You reduced the dividend as a result of lower earnings, of course. But what's your view on share buybacks now? Is -- Have you changed your view on that in some kind of way? Or what's your view or the Board's view?
Vladislav Suglobov: No, we still have the mandate from the Board. We still do make buybacks. We did buybacks in Q4. We're likely to continue doing it in the future. That's -- the position hasn't changed.
Stefan Wikstrand: Then we have Erik Larsson from SEB.
Erik Larsson: Let's see. Now you can hear me, I think. Great. Yes, I just wanted to follow-up on some of the distribution of third-party games. So it sounds pretty promising, but could you just speak a bit more to how did this -- these initial signs were -- or how did it come in versus your expectations? Have you had to do like material changes along the way these first few weeks? Or just any flavor there would be interesting.
Vladislav Suglobov: Essentially, what we are doing with new releases is we are letting them be exposed to the audience that we have accumulated in G5 Store and that continues growing through user acquisition in our own games. And as you know, as always with mobile free-to-play audiences, there is a percentage of people who pay and they drive virtually all of the revenue. And then there's a very large percentage of people who never pay anything at all, but they still play these games. And what is achieved by widening the offering is that we are -- we're making it possible for those audiences that are not monetizing in the games that we have, to monetize in the games that we bring in. We obviously have to think a little bit about the cannibalization. That's why we want to have a curated experience, at least for now and bring in games carefully by sort of complementing the games that we have in our store rather than competing with them. And our thinking was that basically, because we are in a situation where our games are not doing terribly well on mobile, but they continue to grow on G5 Store, we thought there can be other developers in exactly the same situation where they are a little bit stuck on mobile, and they're looking how to increase their revenues, but they cannot do it on mobile. And it may work exactly the same way as it works for our games, which are stable on mobile, but they're growing on G5 Store. And that's exactly what we tried, and that's exactly what we saw is that these games that we brought to the G5 Store, they are very stable. They're unable to grow on mobile stores in the present market environment. But once we put them on the G5 Store and expose them to our audience, they found players, they found paying players and their revenues started growing fairly quickly pretty much organically. And this confirmed our thesis that if we had more games in G5 Store, the G5 Store would be even more successful. So we just need to -- we can help other developers earn incremental revenue, but also bring even larger audience to the G5 Store and improve the offering of games that we have in the G5 Store. So it's an interesting snowball sort of to try and roll down the hill. We've been working on G5 Store and on bringing people to G5 Store for over 5 years now. And we've gathered in G5 Store some of the highest paying users actually, driving the revenues within G5 Store, people who are very loyal to the brand, people who really love these casual games and really love playing them on large screens. So that's our thinking there. And so far, we see confirmations of the original idea that it's worth pursuing.
Erik Larsson: Okay. And then just a final question on, I guess, materiality, because it does sound very promising, but at the same time, it sounds like you want to manage expectations. So for 2026, how much impact could this be? Are we talking low single-digits, high single-digits or even double-digits in terms of share of revenue? Just to get a sense if you could comment that?
Vladislav Suglobov: From these external games?
Erik Larsson: Yes.
Vladislav Suglobov: Well, I wouldn't want to set expectations too high. So I think low mid-single-digits would make more sense than aiming even higher. But we -- the truth is we do not know. The games are in route to G5 Store. It's not entirely dependent on us. Developers have to allocate resources to create these versions. We have to test them and so forth. It usually takes time. Time line moves a little bit. We'd like to release as many of the games that we have signed in G5 Store already this year. And then some of the games that we will be bringing into G5 Store this year, they are very big on mobile, but also some are in genres that are a little bit off from our core offering. So we don't know exactly how well they will perform, but it's very exciting to try and launch something very different. So it's really hard to say, but we want to move there as fast as we can and try things.
Stefan Wikstrand: And then we have Hjalmar Ahlberg from Redeye.
Hjalmar Ahlberg: So yes, also a kind of a follow-up on the G5 Store there. A bit curious on how you see -- I mean, in terms of growth of the total, so to say, players that find G5 Store, I guess you see potential that more players come into these new games, but you also kind of invest UA in terms of getting players that have not found your games coming directly to the G5 Store, if you understand my question?
Vladislav Suglobov: Yes. Again, the logic is that we're basically doing for other developers what we have achieved for ourselves in G5 Store, where we have managed to find a way to continue to grow our very high-quality, casual free-to-play games within a PC environment, within our direct store distribution, even when they don't really grow in the current market situation on mobile platforms. And not -- I mean, not only we see organic traffic in G5 Store, and we see a substantial amount of organic traffic in G5 Store, we also do user acquisition as well. We do it for our own games, and we want to try exactly the same thing for third-party games because there's -- nothing is different, except that we will only operate this game within the G5 Store, and we can acquire organic traffic or rather improve our offering within G5 Store, which should benefit organic traffic, but also bring in -- use our knowledge of user acquisition in this environment to bring in users into these new games in the G5 Store in order to cross-pollinate, so to speak, all of these games. And we do have cross-promotion between all the games. So the games that we bring in, they benefit from our existing audience and the cross-promotion exposure within our existing games. But then there's probably going to be situations where our games will benefit a little from the audience that we bring into the other games, third-party games that we bring to the G5 Store. As always, like I said, like 95% of people, or 90% of people never monetize, right? So you can -- you don't have to move around the 10% that monetize, and we try to avoid it as much as possible, basically just try to leave people be if they monetize. But we can move around people who do not monetize in the hopes that they will monetize in some other game that they will particularly like. And so by expanding our offering and by bringing more users through profitable user acquisition in these games and ours, we can continue growing G5 Store, but we can continue growing it with more games than we have now, right? Because right now, our selection is offered to our own games. And when we open it up to games of other developers, this selection can grow several times over very easily. And these games can be really, really good. If our game that makes a certain amount of money on mobile platforms is still growing on G5 Store, there's a good chance that another game that's making this amount of money, about this amount of money on mobile platforms, cannot grow there, can still grow on G5 Store. And that's the thesis that we have. And so far with the first 2 games, we see the confirmation.
Hjalmar Ahlberg: Okay. Sounds promising there. And also a question on -- I mean, Jewels, you've been able to kind of stabilize Hidden City and Sherlock, as you said. Are you hopeful for Jewels or do you see that it's more difficult with that -- those games compared to the other 2?
Vladislav Suglobov: Yes. Well, this game, unfortunately, has the most game design debt, so to speak. Our thesis is that the match-3 genre has sort of moved a little bit away from this type of games. It's been, I think, about 6 years since we released it. So some catching up needs to be done. And there are some major changes that are coming into the game, which we think will benefit it in any way. Question is whether this will benefit the game by expanding its life cycle and just, like kind of increasing its terminal value, or are we going to be able to actually go back to stabilization and possibly growth. So we will find out in the next couple of quarters. That's the ambition.
Hjalmar Ahlberg: Okay. And looking at your pipeline of new games here, I mean, Twilight, as you see, didn't work out to be a global launch, but you still have some new promising games there. How do you think about the process here? I mean, you've changed development funnel to a few years back. Twilight was quite a long time in soft launch. Is this the kind of way it can be going forward? Or do you think it will be quicker processes going forward, I mean, comparing for -- to Twilight, for example?
Vladislav Suglobov: So Twilight Land is actually quite old game. So we launched it even before we've changed the new funnel process. So it's the last one that we had in development, which was initiated before the process was put in place. Since the new process was put in place, we've killed quite a number of games and usually in the early stages. I do not think we brought a single game to the scalability phase under the new funnel. So this one that I'm cautiously excited about is the first game that actually made it to the scalability phase, and it was initiated after we have the new funnel process. So we think about it the same way. The problem is that the bar is very high in the market for a number of reasons, including decisions on how mobile user acquisition is being made by large players by their action or in action. It is a very high bar to be able to create a game that is scalable. We will still be doing it. However, this is what makes us exciting about -- excited about G5 Store. That it's -- at some point, you start thinking, well, it's really hard to acquire users on mobile and you have to pay this tax to the app stores, which is quite insane actually. So you are essentially investing money to pay this tax to them, which doesn't make a lot of sense. It did make sense some years ago. Now it's almost impossible to do business this way. So you have to have either a groundbreaking game, which we hope to have. We just need to raise the bar, aim higher or we have to find an alternative way to work with our players. And this is where G5 Store and G5 Pay come into play. If you look at the G5 Store, the size of G5 Store business, it's pretty significant already, and it continues growing. So I think it's time we open it up for other games. And we try to work even more actively on expanding the G5 Store as a direct way to reach our players just by passing mobile app stores entirely.
Stefan Wikstrand: Okay. We have one question in the Q&A box currently. [Operator Instructions] What we have currently is from [ Olle 898 ]. I don't know if we have a new Olle or if he just added an 8 in the end. But can you say anything about what happened in Sherlock in November?
Vladislav Suglobov: Yes. So let's call it a live ops incident. There were actually several incidents, which affected the revenue. And conclusions were made from that. We hope they will not be repeated. Sometimes it happens. It doesn't happen very often. But live ops is driving a lot of monetization in G5 Store and then mobile stores. And if something doesn't work, there can be material consequences in the percentage of revenue that's lost. And so we had a few hiccups, unfortunately, in November, which affected the performance of Sherlock specifically.
Stefan Wikstrand: Okay. That was the last question as far as I can tell. Yes, I think then we'll just wrap it up here. Vlad, any final remarks?
Vladislav Suglobov: No. Thank you so much. Very thoughtful questions, and you gave me opportunity to talk about G5 Store, my favorite topic. Thank you again for joining our call today. I wish you a good rest of your day.
Stefan Wikstrand: Thank you all. Thank you all. Bye.
Vladislav Suglobov: Bye.